Operator: Good morning, and welcome to the CECO Environmental Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note today's event is being recorded. I would now like to turn the conference over to Steven Hooser, Investor Relations. Please go ahead, sir.
Steven Hooser: Thank you, Andria, and thank you for joining us, on the CECO Environmental third quarter 2022 earnings call. On the call with me today is Todd Gleason, Chief Executive Officer; Peter Johansson, Chief Financial Officer and Strategy Officer; and Ramesh Nuggihalli, Chief Operating Officer.  Before we begin, I'd like to note that we have provided a slide presentation to help guide our discussion. The call will be webcast along with our earnings presentation, which is on our website at cecoenviro.com. The presentation materials can also be accessed through the Investor Relations section. I'd also like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical facts are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may differ materially from those expressed or implied by the forward-looking statements.  We encourage you to read the risks described in our SEC filings, including on Form 10-K for the year ended December 30, 2021. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today, whether as a result of new information, future events or otherwise. Today's presentation will also include references to certain non-GAAP financial measures. We’ve reconciled the comparable GAAP and non-GAAP numbers in today's press release as well as the supplemental tables in the back of the slide deck. And with that, I'd like to turn the call over to Chief Executive Officer, Todd Gleason. Todd?
Todd Gleason: Thanks, Steven. And Good day everyone. I'm going to start with Slide number three of the presentation that Steven mentioned. Let's get going. I'd like to begin with the note highlighted at the bottom of the slide. Effective as of today, our NASDAQ ticker symbol has officially changed to CECO. Once, that ticker symbol became available earlier this year we secured it as it always made sense for CECO Environmental to be listed as such. We are celebrating our 25th Anniversary as a NASDAQ listed company. So this is just a nice anniversary gift.  But that's not the only bit of good news we want to share today. Let's discuss our financial results and outlook by reviewing the main points on the slide. We believe these are the key takeaways from our presentation today. We delivered another strong quarter. I'd like to thank our global teams for navigating the market challenges and supply chain issues that have persisted. We continue to deliver for our customers and our channel partners. In fact, we produced record third quarter revenue and EBITDA, and our third quarter was the second highest revenue quarter in the company's history. Additionally, this was our third consecutive quarter with new bookings above $100 million.  Our backlog remains close to all-time highs as a result of another solid quarter of orders. Importantly, as we will highlight in more detail on Slide five, we are getting broad based growth from across our enterprise. All diversified companies like to flex their muscle of diversification and I would suggest CECO is doing exactly that in 2022. And frankly over the past 18 months or so. We also remain focused on our capital allocation programs. This will continue to be a hallmark of our value creation. In the quarter we closed one acquisition, the purchase of DS21, a South Korea based industrial water leader. In addition, we continued our stock repurchases. More on capital allocations in a few slides.  The final two bullet points on this slide point to our full year 2022 guidance and our full year 2023 outlook. We are raising our 2022 guidance and introducing our outlook for next year. Bottom line, is we expect to maintain strong growth and are committed to executing against our commitments. So, today is the first day for our NASDAQ ticker symbol as CECO, but another quarter where CECO delivers great results.  Let's move to Slide number four. This slide provides a summary snapshot of our third quarter and year-to-date financials. Peter will dive into our financials in more detail, but here are some highlights. On the left side of the slide, we highlight key financial metrics for the third quarter and year-over-year percentages. Three consecutive quarters with orders over $100 million, another quarter with double digit orders growth and up almost 40% year-to-date. Sales in Q3 and year-to-date are up over 30% with 36% growth in the third quarter year-over-year. 165% growth in our adjusted EBITDA for Q3 and year-to-date EBITDA margins up 250 basis points year-over-year. So revenue and income growth continue to be really solid for CECO. Free cash flow continues to be very good for the year, and we expect to drive free cash flow as we go forward. Overall, we're just very pleased with our third quarter performance.  Now let's move to Slide number five. I refer to this slide when I was highlighting the key takeaways for the quarter and year-to-date performance. This slide provides a visual depiction of each of our eight platforms orders growth rates on a year-to-date basis and over the past 18 months.  All of our platforms have delivered double digit order's growth over the past 18 months. A truly balanced growth profile, obviously have some have demonstrated higher growth over the past year and a half such as industrial air, but bottom line each have growth. And from a year-to-date perspective, 75% of our platforms have delivered orders growth when compared to the first three quarters of 2021.  I'm not going to read each of the platform growth figures. But you can see this is a balanced growth effort. And the two platforms that are showing year-to-date declines have great opportunities in the fourth quarter to close that gap and perhaps drive full year growth themselves. The obvious point here is that our orders growth and near record backlog are not just a result of one or two big markets, or one or two big projects, but instead a collection of great effort across our entire company.  I would also remind the audience that when we organized into these eight platforms about a year and a half ago, I talked quite extensively about the goals and objectives of our focused platform organizational design. The objective was to drive more growth, and a more nimble management approach to capturing opportunities in core or adjacent markets. To have more accountability at the core level that interacts directly with the customer. And after 18 months of driving consistent growth and performance, we would submit that this platform organizational design has been and will continue to be a real differentiation point for CECO.  Now let's move on. Another somewhat unique Slide is number six. Let's go there now. The eight platforms on the previous slide fit into these three strategic focus areas for CECO, industrial air, which represents about 50% of our sales, industrial water, which now represents about 25% and energy transition, which makes up the other 25%. A few of our platforms such as separation and filtration, have solutions that cut across multiple strategic focus areas.  That's why for example, you see the peerless brand listed across the board. Compared to some platforms are brands that are resident and only one such as EIS or AdWest, which those brands are strictly within our industrial air platform. Whichever is the case, we have a number of well-respected brands that solve key challenges for customers in industrial air, industrial water, and energy transition markets.  And on the right section of this slide, you see a representative list of just some of our project wins. Let's like the diversity and balance of our orders growth. We are sharing the same diversity we have been winning across these diverse markets. And these projects, again, are just a small sample size of course, you can read that with an industrial air we highlight a few semiconductor and electric vehicle wins for our various brands. There have been significant investments in these areas, and we believe these markets will continue to invest in expansion.  The same thing for chemical metallurgy and food and beverage markets. Whether it is a $7 million project win for an aluminum manufacturer that required leading air management solutions, or a multibillion dollar semiconductor fabrication facility that needs advanced copper technology. In this case, a $5 million solution that we provided. We believe CECO, and our brands have a great position to serve these markets.  Over the past years, we have steadily developed a sustainable niche leadership position in various industrial water markets. Our leadership position has been advanced through organic growth investments and the acquisitions we have made throughout 2022. In the industrial water markets, we provide highly engineered solutions that capture, treat, clean and offer reuse produce water and heavy industry or energy market applications. Oftentimes, these require special certifications, or being on rigorous approved vendor lists and AVL. So to speak. The process to achieving engineering solution or AVL documentation can take years. And in many cases, these activities ensure to our customers that our solutions are approved for them to maintain regulatory compliance, while also confirming their processes are efficient and safe. On the slide, we highlight a $15 million dollar produced water treatment solution that our separation filtration platforms, peerless brand is delivering to a Middle East customer that required highly engineered water management solutions.  We also highlight some smaller industrial solutions, with the example shown regarding our Fybroc branded or compass water winds around saltwater recirculation or potable water treatment. In short, our industrial water strategic focus continues to build sustainable leadership across targeted niche areas that we believe we have every right to win, and thus we will continue to invest more organic and inorganic growth.  And finally, the energy transition opportunities are vast, we have a very strong position in legacy energy markets, such as natural gas, power, and various refining applications. Now we are positioning CECO to simultaneously support those legacy customers and applications. And also their needs to expand with purpose to new energy infrastructure investments associated with carbon capture, hydrogen, and other advanced gas solutions.  One recent win is in the carbon capture space, almost $4 million separation and filtration solution for carbon capture within an ethanol facility. This carbon will ultimately be sequestered and therefore eliminate environmental exposure. Similar solutions might utilize the carbon as a commercial product, and we are working on various projects where this might be the end goal.  As carbon capture continues to receive investments in sequestration, or commercialization, our solutions will be critical to aid in the development of large scale infrastructure or more point of capture solutions. We look forward to highlighting many more of these examples in the coming quarters.  Now please turn to Slide seven, which highlights our capital allocation actions. As the takeaway on the slide highlights over the past 18 months, we have deployed almost $60 million towards the combination of strategic accretive acquisitions, and share buybacks The four acquisitions listed on the left side of the slide, are helping to advance our leadership position in industrial air, or helping to build a leadership position in industrial water. In Q1 we closed on General Rubber, which adds water infrastructure and process applications. Then in Q2, we closed on Compass water, which ends membrane solutions specific to highly certified marine and naval applications. And in Q3, we just closed on DS21, which advances Seacoast East Asia market access and adds great relationships with leading Korean EPCs and also provides proven industrial water and entered engineered solutions. Each of these three acquisitions add niche leadership positions to industrial water solutions. The Western Air acquisition in Q2 helps to advance our industrial air position with standard dust collectors and energy efficient control solutions. Each acquisition is accretive, each adds niche leadership in focused arenas with very strong management teams. So, while the transactions may seem small on a relative basis, we believe and know they add critical resources, great market leadership, geographic reach and will drive meaningful growth. On the right side of the slide, we provide an update to our share repurchases. Combined in Q2 and Q3, we’ve repurchased about $6.5 million worth of stock. This represented around 3% of our common stock and an average purchase price of around $7.69. A pretty nice discount to our current stock price. These purchases when coupled with the $5 million worth of stock repurchased in 2021 represent a consistent utilization of cash to support shareholder value.  So, while we just announced that three-year $20 million dollar authorization of stock repurchases in May, we have already utilized about a third of that utilization in just six months. Now, I would not suggest we are going to maintain this rate of stock buybacks, but the authorization gives us good flexibility and we will be very prudent with our capital allocation.  I will now hand it over to Peter Johansen, who will go through our financial details and provide an update on our full year guidance. Peter?
Peter Johansson: Thanks, Todd. Before I begin to discuss CECOs third quarter financial performance, I want to briefly share with you some of my initial impressions of mine now almost 90 official days and the Chief Financial and Strategy Officer role. I was very excited when Todd asked and I agreed to join his team on the journey to build a better bigger and stronger CECO. And I'm very pleased to sit here before you today to say that after three months, I'm even more excited about the possibilities and the journey. As I have gotten to learn more about our company, our people and our customers, and the vast potential that is in front of CEO. We have only scratched the surface of tapping the full potential for this organization. Additionally, since I began, I've had the opportunity to meet and interact with a number of investors, potential investors and our analysts. And in each encounter, I have been struck by the enthusiasm about CECO and the interest shared in learning more about the company and our businesses. I look forward to spending more time with you in the future. Now let us dive into third quarter financial results. Please turn to Slide nine. On page four, earlier today, Todd has shared with you a few highlights from our third quarter financial results. I will now take you deeper into the numbers and performance for the quarter. On this slide is a summary of the Q3 2022 P&L performance. A more detailed view is provided in the 10-Q filed earlier today. A few items are worth highlighting for you on this page. Orders are greater than $100 million for a third consecutive quarter at $102 million, up 10% year-over-year, on continued strength in our industrial air and industrial water areas of focus. With the TTM orders reaching a level of $467 million. Sales performance in the quarter was even better at $108 million, up 36% year-over-year on steady execution from our growing backlog. Continuing our run of six consecutive quarters of increasing sales. Third quarter gross profit margins of 30%, were in line with expectations and improved 150 basis points from the year ago period. As our price actions and improved execution offset higher material and project costs. This level of gross profit margin was in line with a 12-month average of 30%. We expect to deliver improved gross margins in subsequent quarters trending back towards historic levels of 32% to 33%. On a backlog that has higher margin profile, improved material and project cost outlook and higher margins contributed from our completed acquisitions. And those to come. A final metric that I would like to highlight that was not described on an earlier slide number four is non-GAAP operating income. Our non-GAAP operating income finished the quarter at $7.2 million over 300% better than our results in the third quarter of 2021. It's important to note this performance would have been even better except for the impact of foreign exchange, which brought the number down by approximately $700,000. All this hard work on the top of the income statement, when combined with our share buyback program has delivered outstanding EPS growth in the quarter, and a set seek of upfront an excellent full year result. Please turn to Slide 10. Where I want to provide some additional data points on orders and revenue. On an earlier slide, Todd shared with you that the orders performance for CECO is widely distributed across our various businesses. Our order strength has led to a nice run of seven consecutive quarters of average orders growth per quarter, and TTM orders growth. A run we expect to continue, with the average in the third quarter reaching $117 million on TTM orders of $467 million. This figure has also set a record for orders in a three quarter period of $377 million. Earlier on slide six, Todd walked you through a selection of nice wins for CECO in the quarter, which contributed to our Q3 results and will convert to revenue in the future. This ongoing strength of orders translates to strength in revenue as we convert our backlog. The series of seven quarters of orders growth has been mirrored by an even steadier and consistent revenue growth trajectory, with average revenue per quarter and TTM revenue reaching $100 million and $400 million, respectively. Third quarter revenue was $28 million greater than the year ago period, and was the second highest revenue quarter in company history. A mark we're looking to break again in the near future. As we flip to the next Slide, number 11, I'll provide some additional color on CECOs backlog. With a third consecutive quarter, CECOs backlog is at or near an all-time high. We finished the quarter with $280 million of backlog up 20% -- 27% excuse me from the third quarter of 2021 and 30% from the year end 2021 figure with a 2022 year-to-date book-to-bill over 1.2 times. With an opportunity pipeline still in excess of $2 billion and with a good start to Q4 and with our October bookings, we're expecting continue the book-to-bill performance of the past seven quarters to the end of the year, setting CECO up nicely for 2023. Equally important is that our platform teams are very optimistic about growth and continue to see more opportunities to expand the current pipeline beyond existing levels. Now let's turn to Slide 12, to take a look at margins. As showed on slide nine, our gross profit performance improvement year-over-year was substantial. Third quarter gross profit dollars delivered were up 43% versus the year ago period, and was the highest level for many quarters, while its gross profit margins increased by 150 basis points, pushing the 12-month average back to the 30% level. While, it feels good to be back at 30%, our team feel that 30% of the floor for CECOs gross profit margins and fully expect to improve from this level, targeting the historic levels of 32% to 33%. Through continued pricing actions and price discipline, ongoing improvement in project execution, value engineering and supply chain management. Third quarter adjusted EBITDA of $9.2 million was $5.7 million higher than the year ago period, producing EBITDA margins of 8.5%. A 420 basis point improvement over the third quarter of 2021. Our TTM adjusted EBITDA of $38.5 million produced a margin for the 12-month period of 9.6%. In the quarter we had a true up for FX made investments in additional commercial resources in a number of our platforms, and close the DS21 acquisition. Without the effect of these expenses, adjusted EBITDA would have been greater than $10 million, with our margins 90 to 100 basis points higher. These profitability results demonstrate that even with the challenging operating environment in which we find ourselves today, CECO are getting strong leverage on our increase volume. For a moment, consider if gross profit margins had been realized at CECOS historic 32% to 33% range. EBITDA for the quarter would be in the $11.5 million to $12 million range with margins of approximately 11%. To get back to these margin levels, we remain focused on our initiatives to improve execution, commercial outcomes, and optimize our G&A expenses. Continuing to selectively invest in growth, and enabling capabilities, but doing so at a pace that that is consistent with delivering improved profitability. Now please turn to Slide 13, where I want to briefly cover cash positioning and capital deployment. The main takeaway here is that we're delivering strong operating cash flow, have ample investment capacity to fund our growth and value creation strategy, and have been deploying capital aligned with that strategy. Year-to-date, we have spent approximately $54 million on M&A share buybacks and CapEx to support organic growth. Our strong performance has allowed us to execute on our programmatic M&A and share buybacks while maintaining a healthy EBITDA leverage ratio of less than 1.8 times, yielding over $90 million of available capacity for further growth investments. We believe we have additional opportunities for improving cash generation from working capital management and project execution through the end of 2022 and into 2023.  Please turn to Slide 14 Where I’ll walk you through our outlook for full year 2022. Earlier this year, Todd shared with you a CECO full year financial outlook for the first time as a company, we increase the full year 2022 outlook when we presented our second quarter earnings results in August. I am pleased to share that we are increasing our full year financial outlook again to reflect strong performance and confidence in growing and converting our backlog and our operational execution. Here are the numbers. We now expect full year 2022 orders to exceed $475 million. This would represent a greater than 30% year-over-year increase and would be the second consecutive year that CECO has grown full year orders by 30% or more. Our updated outlook for full year 2022 sales is to exceed $410 million, delivering over $100 million in revenue in the fourth quarter for a third consecutive quarter. This would represent a 26% year-over-year increase for the full year. We continue to expect full year gross profit margins of 30% which although down 100 basis points versus full year 2021. Will allow us to exit the year with higher run rates in the first half of 2022. We are also improving our full year 2022 outlook for adjusted EBITDA and increasing our previously stated range from a low of 37 to a high of 40 with a view that CECO will now deliver or exceed adjusted EBITDA of $39 million for the full year, which would be an increase of 50% versus 2021. As you can see our full year 2022 guidance for orders revenue and adjusted EBITDA are target numbers, implying we expect to meet or potentially exceed these levels. We continue to make important growth investments while taking into consideration the supply chain and inflationary challenges. So we remain cautious about setting expectations that are out of a range. However, we believe these figures represent the best view given our balance across CECOs current strong execution, our investments and market challenges. The takeaways thus, CECO is in a better position than ever for higher performance and our 2022 full year outlook is supportive of such a view. I’ll now hand it back over to Todd to talk about 2023 and beyond.
Todd Gleason: Thank you, Peter. Let's turn to slide number 16. We shared this slide in August when we presented our Q2 earnings report. We outlined that along with our financial guidance, we intend to signal the consistent execution areas that will drive steady growth and transformation. Well, we modestly updated this slide for today's presentation, it remains largely the same. In short, we are saying what we expect to do, and we expect to execute on these points. We did a similar slide in mid-2021, and provide an update on our achievements in August of this year, you can go back and see that we check the box on the key items over the past 12 months. Study execution. That's our goal.  Our transformation will continue as we expect, as we finish the year strong. Peter shared our financial outlook, and mentioned growth investments. By advancing our growth and operating excellence programs, we will have an above average chance of sustainable performance. It isn't one magic acquisition or one fancy new product line, but instead a steady diet of incremental items and transactions. As we head into 2023 and move into 2024 and beyond. We expect to build upon the foundation we have put in place over the past two years, we will advance our operating model and continue to deploy capital where it creates the highest economic returns. You can see we outlined some longer term financial goals such as EBITDA in the mid-teens in two to three years. This will come from a continued high performance culture that delivers as well as a transformational journey to add more short cycle sales to our business mix. Over the past two years, we have already moved from only 20% short cycle sales to approximately 30% today. We continue to expect our business mix to hit 50% short cycle sales and 50% long cycle sales in this time horizon that we present on this slide.  Now let's turn to number 17 and let's review our preliminary 2023 financial outlook. We are pleased to introduce 2023 financial outlook with this focus on CECO revenue, adjusted EBITDA and free cash flow. We will provide more detail on orders and other P&L items after we close 2022 and finalize any remaining 2023 budgetary items. Our expected outlook for the full year 2023 revenue is deliver sales in the range of $450 million to $475 million approximately 13%. If you take this range as midpoint and compare it to what our full year 2022 revenue guidance is. We expect to have a strong backlog heading into 2023 and remain optimistic [tech diff] …continue to invest in growth initiatives. As we expect to advance our growth in adjacent markets. And the aforementioned higher mix of shorter cycle sales. Our expected outlook for full year 2023 adjusted EBITDA, [tech difficulty] …and driving productivity while balancing investments for growth. We're also balancing the economic uncertainty and continued supply chain challenges. And these are reflected in our current thinking with respect to this 2023 outlook.  Finally, with free cash flow, we remain committed to generating strong free cash flow. We believe that we can generate free cash flow in the range of 50% to 75% of EBITDA, which is the right target for CECO. We thought it would be helpful to be transparent on our current view of 2023. This information, coupled with the slide that Peter shared outlining our commitments on 2022 and the material we share, outlining our longer term commitments towards steady execution and transformation should provide good material for your continued assessment of CECO and our progress.  Now let's wrap up with Slide 18. Great results in Q3 and year-to-date across the board. Our sales pipe pipeline remains strong, and our near record backlog gives us good visibility. We are pleased to raise our 2020 full year outlook and provide an initial view of 2023. We hope you find this information helpful.  We remain committed to our capital allocation programs and steady transformation of CECO, we aim for higher performance, and we expect to continue to drive great shareholder value.  With that, I would like to thank teams CECO, for delivering for our customers being accountable for their results. We would like to thank everyone on this call for your interest today.  And with that, I'll hand it over to the operators we'd be happy to answer any questions.
Operator: [Operator Instructions] Our first question comes from Amit Dayal of H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning, everyone. Appreciate you taking my questions and congrats on the execution and raising your outlook. Just with respect to supply chain issues, Todd? Is that still preventing you know, stronger performance potentially, relative to sort of what is out there for you?
Todd Gleason: Look, I think, first of all, we've been all when I say all seems like every company I know is still navigating the choppy supply chain markets. I would say that we have adjusted our teams are doing a great job, working with our customers working with our suppliers and not every one of our platforms and projects are on or ahead of schedule, we're still navigating some choppiness.  So I suppose in that way, we could suggest that things could have maybe even been a little bit better. But I feel great about our team's execution. And I think that, at some level, we're just so accustomed now, and over the last 18 months or so to just having to deal with some choppiness. It seems more just more normal. But regardless, we look forward to a day when we're -- when we have a really, I guess, smooth supply chain.
Amit Dayal: Understood, and, you know, just recent headlines around recession, et cetera, many companies are raising than you guys are. How are you situated relative to some maybe competition, et cetera on that front? And how much of a risk is these type developments, to your outlook, any color on just the macro environment relative to the outlook, would be helpful. Thank you. 
Todd Gleason: Good question. And look, we're, as we mentioned in our prepared remarks today, we were putting a lot of thought, we understand the dynamics that are out there, the headlines, and it's real. I mean, we know that inflation and the supply chain that we just talked about, continues to be uncertain. There are certainly, various U.S. or international items that are somewhat concerning, if not very unknown at this point.  For us, however, we, as we stated, number one, we have a really balanced, diverse growth profile, across our platforms. And so in a very strong backlog, a really good pipeline. So, I'm just kind of punching through the headlines, if you will, or the bullet points that we provided, that does give us more visibility than maybe some companies have.  I would also suggest that, for CECO and the investments we've made to really be more nimble to move from a market that might be kind of slowing down or even pulling back and move more quickly into another market that we think has a growth profile, for example, we all understand that there's a going to be a large investment in the semiconductor space, we're able to we feel, put ourselves in good position for opportunities there, for example.  So I think the macro themes for us still look pretty positive. There's a lot of investment in some of the markets that we mentioned, there's a lot of investment in infrastructure in the U.S., infrastructure in Europe, a fair amount of redomestication or U.S. industrial revitalization. And, I think we're just in the very early innings of some of that, but a really early inning in the energy transition. We have grown a lot of our businesses by supporting legacy energy infrastructure and capabilities. And I'm as excited about the next period of time for that transition, two carbon capture, two hydrogen, two other gas solutions, I think CECO is in great position for those markets. And so those markets don't feel like they're pulling back, we feel like they're moving forward.
Amit Dayal: Thank you. Understood. This one last one from me, Todd. On sort of your margin improvement efforts, have some of these steps already been implemented? Are you starting to implement these just wanted to see the timeline, through which these will start reflecting maybe in the financials? 
Todd Gleason: Yes, I'm going to give you kind of a CEO math here. I'd say a third of our operating excellence programs have been implemented or, like, for example, pricing actions and certain execution actions that Ramesh and the operating teams and the of the project management teams, I think we feel like the offense game plan is moving the ball down the field very nicely. And I want to thank our teams for that focus and what they've been doing to deliver steady margins, because we really have protected our margins as a result.  Another third I would say is, we have the programs in place, we're just kind of early days of really hitting those harder supply chain initiatives, et cetera. And we're pretty early in some of our Lean journey, some of our operating excellence programs that I know, Ramesh is also eager to share with the investment community and others as we sort of really implement those investments that we're making now, and will continue to make over the next 12 to 24 months. So, it's a little bit of a blend. But the good news is we know how to do this stuff, a lot of experience, and we're making good progress.
Amit Dayal: Thank you.
Operator: Next question comes from Rob Brown of Lake Street Capital Markets, please go ahead.
Rob Brown: Good morning. My first question is on the businesses that were a little weaker, I think the Food and the Duct businesses. We talked about a potential for an uptick there, what sort of driving the uptick there? And? And when do you sort of I think you can see that?
Todd Gleason: Yes, orders is a, it's a very nice indicator of what they represent, I mean, it's a year over year, look, it's a growth look. So I would say while it is a really important indicator orders can also be, like a lot of other financials or statistics in life, they can be the timing of an order, had, we booked something in the third quarter versus the fourth quarter, et cetera.  So, when you're looking at those two platforms that have shown year-to-date down, we still feel their pipelines of great. Electric vehicle, for example, and our Duct Fab business, we think, is a really nice opportunity. We're a little, I guess I call it like, later cycle and some big projects there, that we feel like we're going be in, well positioned for.  And then on the fluid bed side, the investments in refining, have continued to be if there's -- if it's delayed or pause, refineries are running really hard. And they're maximizing the markets that are in front of them today. And so their capital investment for certain applications, like a cyclonic technology have just sort of been pushed out and pushed out. But regardless, we like both of those pipelines. And we think that maybe as early as the fourth quarter, but certainly as we ended the next year, their pipelines look really good.
Rob Brown: Okay, okay, great. And then maybe this follows on that. But the energy transition activity you talked about, those tend to be later cycle projects. And this had some of the confidence that you see for next year is some of those late cycle activity coming on? 
Todd Gleason: Yes, that pipelines building, whether it's later cycle or some of these projects take a fair amount of time to get all of their entire project scoped and, and approved and the investments all put together outside this is, this is outside of our control, obviously. So we may know that we're in good position for our piece of a project, but they have to get from A to Z and the alphabet, everything lined up. And we represent five letters of the alphabet in this case. So but yes, look again. Ramesh and the team have done a great job of really turning the spotlight on opportunities there. And the carbon capture job that we that we mentioned, was just one example where we've had a long term knowledge of that project coming.  But we've had to wait really for that whole project to really come through to fruition. And so that that's just one example. Another would be, I think there's a lot of companies that are talking about LNG and, and other investment and infrastructure that's, that's really growing and in terms of support, and we feel well positioned for that as well. And that seems to have been either mid or late cycle and some of this energy investment.
Rob Brown: Great, thank you. I'll turn it over.
Operator: Next question comes from Jim Ricchiuti of Needham and Co. Please go ahead.
Jim Ricchiuti : Thank you. Good morning. I, just want to do, again, pursue the decision to provide guidance or an outlook preliminary for 23. And the question, today is more around the short cycle business. I mean, obviously, the past CFO has not been immune from economic cycles. So I'm trying to get a sense as to how what you're seeing in that short cycle business, whether it's just healthy, which it sounds like it is, or whether you're also potentially even taking some share in markets?
Todd Gleason: Well, in some businesses, we feel really good about, maintaining and in our share, for example, in some of our fluid handling businesses, whether it's taking share may might be, but it's, we really, we really like our ability to partner and grow distribution, we think there's big opportunities there domestically, even internationally, some of our recent acquisitions we feel helped us bring through over the next, you know, six to 12 months, even more shorter cycle opportunities with our legacy or core CECO business, but also those acquisitions are really starting to we feel hit their stride with respect to opening up some shorter cycle market opportunities for us.  And then, of course, just the I'm going to go back to the answer we gave, which is, I think the industrial markets continue to be give us visibility, at least to infrastructure to redomestication of U.S. industrials to large investments in certain key end markets that we feel well positioned, because there's only a handful of companies that are approved to provide industrial water and industrial air solutions.  And then, I think ESG is going to have some ups and downs with respect to how people feel about it somatically. But nonetheless, companies are still spending a lot of time and energy, not just because of ESG, from a topical perspective, but really from they're committed to environmental solutions. And it's not just regulatory. And so again, we just like the balance, I would say, there's not one share moment or one silver bullet or one acquisition for us, when we're lining up to the line of scrimmage, we'd like to playbook we have, we feel the defense is going to throw some things at us, but we're going to be able to navigate it.
Jim Ricchiuti: And follow-up question just on this $4 million order that you highlighted, related to carbon capture, can you talk about the use case, whether this is a new or existing customer and whether you're seeing increased interest from perhaps similar size customers, either in similar or adjacent markets? 
Todd Gleason: Yes, it's a new customer. I mean, that said, we may have done work with them in the past, but this is a mostly a new relationship, a new solution. We, with our with our legacy peerless business, having a very strong position and separation filtration for natural gas infrastructure, just a really nice natural fit for us to build relationships now, utilizing that brand in the carbon capture space, this one happens to be in an area that we have having a focused investment for a number of quarters.  And we think that number, there's two things I might add, that I'm sure we look forward to hopefully talking about is that, number one, this could be a customer and a market that has a series of very similar projects. I mean, this is an industry that when one solution gets rolled out, it's kind of adapted by other companies in the space. So, we're, you know, optimistic that that could be an opportunity.  And then Ramesh and the team are really looking at migrating a solution like this across a range of other industries. You can look where, a similar type of carbon capture can be whether it's food and beverage, cement, other industrial areas where we really feel like our relationships and relationships of our channel partners can open up a lot for us. You can feel the enthusiasm in my voice because I'm just reflecting the hard work of our great teams out there that are sharing the pipeline in these areas. And I can tell you that we hope to be talking about more of these energy transition projects throughout 2023.
Jim Ricchiuti : Got it. Thanks. Congratulations, by the way. 
Operator: [Operator Instructions] And our next question comes from Aaron Spychalla, of Craig Hallum. Please go ahead.
Aaron Spychalla : Good morning. Thanks for taking the questions. Maybe first on the recent acquisitions. I know it's early, but can you just talk about some of the synergies and early impressions there, just how the reception for your industrial water offering has been in the market as we think about the pipeline, and how you've expanded that and just areas you might be looking to fill as we move forward?
Todd Gleason: What is early days? No. At the same time, you know, we've built a nice little organic position and industrial water and produced water in certain areas. And again, I've been using an analogy like this, or what we really felt and we know we have a seat at the table to solve an industrial water solution.  So, for us, whether it's Compass water, adding a really attractive niche leadership position. That is, we believe going well, we've done some good work with our operations internally, in the combination of what we do in marine and naval coupled with what they do, we believe there's some really great growth synergies. And then the DS21 acquisition that we just closed in the third quarter. Boy, they have just a really attractive not only manufacturing and assembly position in in Korea, South Korea, but just fantastic relationships with Korean based EPCs that we that we look forward to really advancing and expanding.  So all of these things we think opens up geographic adjacencies market adjacencies more short cycle, they each bring an opportunity with, 50% business mix, let's say with, replacement membranes and higher margin products. So, just early days, Aaron, but again, really excited about what they, how they're all hitting their numbers already against our acquisition model. And then we think more growth opportunities as we roll into next year.
Aaron Spychalla: Thanks. And then you touched on it a little bit, just on the margins, it's, obviously confident in the return to historical levels, can you talk a little bit about, you know, kind of what you're assuming in that 2023 guide, and then just on supply chain materials costs, talk about some of the initiatives that are ongoing there. And as we look for improvement?
Todd Gleason: Yes, we're going to try to be a little bit more, when we get into 2023, we're going to -- where we aim to, we expect to be a little bit more I guess, instructive with our view of gross margin levels for the year, we just want to get through 2022 first, and really see what's on our backlog, really see what's in our project management offering. Again, we feel very confident in our ability to get back up to those historic margins.  But right now, we just, we're kind of just sticking with the high level numbers of revenue, high level numbers of EBITDA, we'll provide a little bit more visibility to the more I guess, the more four P&L when we get into 2023. I can assure you though, that our goals and objectives are aligned with what Peter shared, or how we expect to exit the year, there's just a lot of moving pieces and parts, as others have asked on the poll around economic uncertainty and cetera.  Look, we feel great about our pricing actions, we feel great about the early innings of our lean manufacturing journey, we feel great about our operational excellence programs to deliver and execute, but there is a lot of uncertainty still, around inflation could be coming up could be going down. A lot of uncertainty still around utilization of labor rates, et cetera. So, you can hear what I'm saying is that we're just trying to be a little bit thoughtful about when we give all of our financial outlook numbers, but again, we're committed to execute against the numbers we provided.
Aaron Spychalla: Understood, thanks for the color. I'll pass it on. 
Operator: The next question comes from Bill Dezellem of Tieton Capital. Please go ahead.
Bill Dezellem: Thank you. Group of questions. Let me begin with the fourth quarter order strength. You referenced that you have already seen this quarter. Would you walk through some details of that please, since you gave us a bit of a preview?
Todd Gleason: Yes, energy transition. I would say that area that market we feel really good about in terms of the fourth quarter, to-date, some really nice opportunities in single cycle power, for example, some nice opportunities, still across our separation filtration platform. We highlighted that we think that our fluid bed business could have a turnaround in the fourth quarter. So I would suggest that, again, in terms of global refining CapEx, we think that that's an opportunity for us to support.  And, when Peter shared that our quarter to date orders gives us confidence to we expect deliver another quarter of greater than $100 million in orders, that would be great. Four quarters in a row of that would be certainly a nice indicator of our balanced throughout the year on our balance, strength and give us another really solid backlog level as we head into 2023. Those are in our expectations, otherwise, we wouldn't have shared them.  So it's, again, it's not just one platform, we expect all of our platforms to be strong, including our Duct work business, which also has some great customer relationships that they've been cultivating for a number of quarters in a row that we think could hit in the fourth quarter. So, a lot there Bill as an answer. And that's because there's a lot of opportunity.
Bill Dezellem: Now that is that is helpful. And in specific to the fourth quarter, are you anticipating customers will have a budget flush? Or is that really not a component of Q4 orders?
Todd Gleason: I mean, it could be at times, I think you'd have to go through the different customers in the different markets. And they're somewhere yes, you know, the CapEx is going to be spent in the fourth quarter, because that's just the way the world works, spend it, use it or lose it. Is that what they say, Bill. And so, we've also been waiting for some things like the Department of Defense budget, which flips in October 1, end of September, beginning of October.  We think that could open up some interesting naval projects, where we have a unique position to -- and you've seen some of those applications when you came and visited our Denton facility. And so again, we feel that the fourth quarter could have some unique attributes associated with just the timing of some of those budgetary items. It's sometimes a bigger moment for us than other times, I don't feel like this quarter, we're not holding our breath for cycles like that.
Bill Dezellem: That is helpful. And lastly, relative to the economic uncertainty that has been referenced here on the call and ever present in the press? What has that done or not done in terms of affecting potential sellers in your M&A strategy, affecting the potential sellers' mindset?
Todd Gleason: Yes, I think it's a very important data point for them. I think that companies see being part of a larger, financially stable, diversified organization it's helped. I think, when there's uncertainty in the headlines, they don't, there's a good dialogue that goes on the financial model as a result. Sometimes it's a seller's market, sometimes it's a buyers’ market. We're a win-win organization, we like to find relationships, product categories, niche leadership, we want to keep the leadership teams engaged, every one of our acquisitions, we've done a fantastic job of doing that.  And in my time, with the organization, we don't buy and rip out class and fire a bunch of people, we cultivate, we invest, we grow, these are homegrown relationships that we don't just jump into an auction process at the last minute and bid and negotiate because the headlines look bad. And I think that, any deals that we do in the future are going to be accretive from a from a price perspective, and deliver the type of value from a long term because we're going to maintain those relationships.
Bill Dezellem: Thank you. I just want to push on this just a little bit more. Have you seen pricing soften as sellers are becoming nervous?
Todd Gleason: Prices are going up. That's for sure.
Bill Dezellem: Not…
Todd Gleason: Prices are not going up on transactions. But there's still money out there. People need to put their capital to us. We have a good balance sheet, we have good cash. We've got good liquidity, as Peter showed. And we're being thoughtful about our capital allocation. And I don't think prices are going higher at the moment.
Bill Dezellem: Great, thank you for taking all the questions and congratulations on a great quarter. 
Operator: [Operator Instructions] And our next question will come from Thomas Claugus of GMT Capital. Please go ahead.
Thomas Claugus : Yes. Hi, Todd. I guess I change companies all time. Can you remind me I keep hoping that peerless is going to get some business over in Europe? So the EMEA deal that you got looks like it's a peerless deal. Is that correct? And then is there any further progress? Because it looks like there's going to be a lot of natural gas projects in Europe. So I'll keep hoping that. I know, there's not a lot of peerless over there. But I'm hoping that there's some strategy or some movement into getting those products more in Europe. And then what's the overall European or EMEA exposure? The company again, I think it's 20%. Can you remind me?
Todd Gleason: Yes, it is about 20% give or take. That -- we look good question. Peerless has an opportunity in Europe, it's doing really well in the Middle East, are doing really well in other international markets. Our HARTING [ph] product line has a fantastic position in Europe. That's more on the noise management silencer. We are developing more sales channels throughout Europe with peerless and other product lines. Our not just our energy transition and our legacy energy applications, but industrial air opens up more opportunities for us as we develop more sales capabilities and business development. So look, I think it's a fair question, we'll try to be a little bit more, whatever, if you want to call it update people on how peerless is doing in Europe, I think, you know, more opportunities are there for natural gas. And I think that we have a great relationship with U.S. space, energy companies. And as they open up more natural gas solutions throughout Europe, we feel like we're well positioned there.  Now, that said, they're growing, we're growing nicely. And at some point, it's a capacity issue a little bit, a crawl, walk, run, and there's only so many places you can run and other places, you have to walk in some places, you have to kind of just pick your battles. And we don't want to take on too much at times. I'm not suggesting that we're just turning down jobs. But the fact of the matter is, I think our orders growth has been pretty solid. And I think there's opportunities for us.
Thomas Claugus: Okay, thanks.
Todd Gleason: Yes, thank you.
Operator: This concludes our question and answer session, I would like to turn the conference back over to Todd Gleason for any closing remarks.
Todd Gleason: Thank you. I'll close with just a few comments. Number one great questions, appreciate the questions, a lot of interest and always happy to address the comments and the questions. Also, really pleased that our ticker symbol is now CECL. And it's nice to have that association going forward. Ida also, once again, like to thank our global teams at CECO, without their commitment to the customers, to our channel partners, and navigating the challenges, we wouldn't have the year to date performance, the last year and a half, two years performance that we've had. So thank you, all of you for doing what you do for our customers and for each other every day.  And last but not least, our leadership team, with the last 90 days or so of adding Lin and adding Peter, Ramesh and I have been here for a little bit longer, but still really coming together, what we really feel great about our opportunities and our strategies. And so I just want someone to set thank our leadership team for jumping in to the new CECO quickly, and helping to ensure that we have a good strong end of the year and well positioned for 2023.  And so with that, well thank everybody for your time today. We look forward to speaking with you over the next few days. And we're going to be at some conferences coming up investor conferences that like the Southwest Ideas conference in Dallas and some other some other events. So again, we look forward to seeing and meeting with many of you at those events. We'll talk to you soon. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.